Operator: Good morning. My name is Greg, and I will be your conference operator today. At this time, I would like to welcome everyone to the Entergy Corporation First Quarter Earnings Conference Call. [Operator Instructions] I will now turn the call over to Liz Hunter, Vice President of Investor Relations for Entergy Corporation. Liz, you have the floor.
Liz Hunter: Thank you, Greg, and thanks to everyone for joining this morning. We will begin today with comments from Entergy's Chair and CEO, Drew Marsh; and then Kimberly Fontan, our CFO, will review results. In an effort to accommodate everyone who has questions, we request that each person ask no more than two questions. In today's call, management will make certain forward-looking statements. Actual results could differ materially from these forward-looking statements due to a number of factors, which are set forth in our earnings release, our slide presentation and our SEC filings. Entergy does not assume any obligation to update these forward-looking statements. Management will also discuss non-GAAP financial information. Reconciliations to the applicable GAAP measures are included in today's press release and slide presentation, both of which can be found on the Investor Relations section of our website. And now I will turn the call over to Drew.
Andrew Marsh: Thank you, Liz. Good morning, everyone. We had a very productive start to the year with progress on activities that support our near- and long-term objectives. Important updates to facilitate customer growth include new customer announcements, regulatory outcomes and new legislation. Starting with our financial results for the first quarter. Today, we are reporting adjusted earnings per share of $0.82. We're on track for 2025 guidance, and we remain well positioned to attain our greater than 8% adjusted earnings per share compound annual growth rate for the outlook period. Kimberly will discuss our financial results in more detail. As you've heard us say, we aim to create value for all our stakeholders, customers, employees, communities and owners, and customers are listed first because everything starts there. The opportunities driving our industrial sales growth continue to be robust. There is increasing visibility into our growth including three announcements from large customers since our last call. In March, Hyundai Motor Group announced a $5.8 billion investment in Hyundai Steel, a manufacturing facility with -- and an engine for economic growth in Ascension Parish, Louisiana. Then in early April, CF Industries announced that it's reached its final investment decision on its $4 billion investment in a low-carbon blue ammonia facility, which will be located near Hyundai Steel. This project was first announced in 2022. And yesterday, Woodside announced that they have reached FID on their $17.5 billion LNG facility, bringing jobs and investment to Coastal Louisiana. These projects are expected to come online in 2028 and into 2029 and were assumed in our outlook last quarter. These customers diversify our industrial mix. They also provide important benefits to the nearby communities through substantial local investments, significant growth and workforce development. We've demonstrated a long history of powering industrial growth as businesses establish and expand operations in the Gulf South region. Hyundai Steel, CF Industries and Woodside LNG are examples of this trend continuing. As more companies consider investment in the U.S., the Gulf South remains a very attractive option with low power costs, robust energy and transportation infrastructure, access to diverse energy sources, a business-friendly environment, a proven workforce and welcoming communities. Data centers are a more recent addition to our large customer portfolio, and we remain in productive discussions for many potential project. We continue to receive strong interest and optimism from hyperscale developers about the incredible opportunity before them. And our data center pipeline remains in the 5 to 10 gigawatt range. We are executing on our capital plan to support that strong customer growth as well as improved reliability and resilience. We continue to make progress in the Orange County Advanced Power Station. The project is approximately 70% complete with more than 1 million man-hours worked with no safety incidents. The project remains on schedule and on budget with a projected in-service date by summer of next year. Delta Blues advanced power station in Mississippi is in earlier phase of construction and is also on schedule and on budget. At the same time, we're exploring the potential to increase the capacity of our existing combined cycle natural gas facilities nearly 500 megawatts. For nuclear, we completed the spring refueling outage at River Bend on schedule. During the outage, we conducted extensive work on the main generator to support long-term reliable operations. The Waterford 3 refueling outage is now underway. Planned work includes replacement of low-pressure turbine rotors that will improve efficiency and pave the way to increase the capacity of the plant by an estimated 40 megawatts in the fall of 2026. We continue to assess potential capacity upgrades at our other nuclear plants that could total approximately 275 megawatts. As we mentioned before, we have an NRC early site permit for a potential new nuclear facility at Grand Gulf, which expires in April 2027. We intend to renew the permit for another 20 years to maintain a viable option for new nuclear. We are in discussions with customers, potential partners and other stakeholders regarding that opportunity. As you can see, our operations and project management development teams are doing a great job keeping us on track to support our customers' needs. In addition to our efforts in operations, we are working with our regulators and other stakeholders on important dockets that address infrastructure needs to support growth, reliability and resilience. Efficient review processes are critical to stay on track to meet our customers' expectations. Entergy Louisiana received approval from its Public Service Commission to place the capital investment from Hurricane Francine into rate, subject to a future prudence review. This means our recovery started less than 2 months from filing and 6 months after the storm. A faster recovery reduces carrying costs and supports Entergy Louisiana's credit, both of which keep cost low for customers. The LPSC also approved a $0.5 billion West Bank 230 kV transmission project that will support customer growth and economic development. In addition, we have a major 500 kV transmission project in Louisiana that is pending commission review. Separately, we received the final approval needed for Entergy Louisiana's gas LDC sale from the East Baton Rouge Parish Council. We're targeting to close the sale of both Entergy Louisiana and Entergy New Orleans gas businesses in July. Introduce Louisiana's filings to support its hyperscale data center customer continues to move forward, parties have filed testimony, and the hearing is scheduled for mid-July. We remain on track for an LPSC decision in October. For Entergy Louisiana's 3 gigawatt solar RFP, the first round of procurement is complete, and we're moving forward with two proposals for owned assets that total 400 megawatts. Proposal's in the second quarter were received in mid-April, and we are targeting selections later this quarter. In Texas, the PUCT approved placing $137 million of transmission investments into rates. We have also requested a certificate of convenience and necessity for a large transmission project in Texas known as SETEX, S-E-T-E-X. The hearing is scheduled for May, and we are targeting a commission decision by the end of August. Entergy Texas request for generation CCNs are continuing as expected. Hearings for Legend and Lone Star dispatchable generation projects as well as renewable resources are complete, briefings have begun, and no parties have disputed the need for new generation to meet growing demand. We are targeting decisions in the third quarter. In Arkansas, the APSC issued a certificate of environmental compatibility and public need for Lake Catherine Unit 5. This plant is important to support Arkansas' customer demand. Entergy Mississippi received approval to build a combined cycle gas plant in Ridgeland County. This facility will serve the growing demand in our Mississippi service area. And Entergy Mississippi also filed its annual formula rate plan with no rate change requested. We expect the commission to take this up over the next few months. Turning to legislative matters. Arkansas recently completed its session, setting the stage for future growth in the state. Act 373 signed into law by the governor supports economic development and growth and will benefit our customers and communities. Specifically, the legislation allows recovery for new generation capacity and certain transmission investments outside of the formula rate plans 4% cap. And also streamlines and simplifies the process for certification of public need to allow for faster response to economic development while maintaining regulatory oversight. Additionally, the new law allows utilities to recover carrying costs on construction work in process during construction, thus lowering cost for customers. Texas is also in a legislative session. One of the bills of interest for us will accelerate the regulatory review and approval for storm securitization to 150 days, significantly faster than previous reviews. More timely reviews benefit customers through lower carrying costs and improved credit. The Texas legislative session continues through June 2. Turning to tariffs. We know tariffs are certainly a topic that we know you're interested in. It's top of mind for us as well, and we are actively engaged in monitoring as the landscape evolves. There are several considerations and the bottom line is that we believe tariffs impacts are manageable. The current tariffs would primarily impact capital expenditures, and we estimate that the impact to be approximately 1% of our $37 billion 4-year capital plan. The vast majority of the dollar impact is in the back end of our forecast period, which provides time to continue to reduce those effects through additional supply sources. To mitigate potential impacts, we are working with our suppliers to develop alternative supply sourcing strategies. In addition, our ongoing cost management efforts as well as contingencies in our spending plans will help us manage our costs. For example, at Analyst Day last summer, we talked about our disciplined capital prioritization and review processes to drive customer value. To date, we've identified greater than $1 billion of capital that was redeployed into other projects to benefit customers. We're making every effort to reduce the effects of tariffs for our customers, who are working hard to make ends meet and competing in a global marketplace. To that point, we're also actively monitoring what this means for our customers' businesses. Our large industrial customers are highly competitive in domestic and global markets. Commodity spreads continue to be supportive, in part due to the structural advantage of low-cost natural gas. I'd like to highlight a few specific examples. LNG exports are likely to increase due to the natural gas advantage, which would help bridge the trade deficit. And I just mentioned the Woodside announcement as a case in point. Ammonia has a strong competitive position due to low natural gas prices in the U.S. and companies are moving forward in investment in clean energy technologies, as the CF Industries example illustrates. The petrochemical sector also enjoys structural advantages from low-cost natural gas liquid feedstocks and potential decreases in global production would likely come from the European Union. Beyond the price advantage of natural gas, companies seeking domestically produce materials to manage tariffs could cause sectors such as steel that are not currently running at full capacity to ramp up production. Overall, commodity fundamentals still favor U.S. manufacturing. As a result, our service area remains well positioned to capture new onshoring and industrial development with the Gulf Coast advantage that we talked about for some time and that I managed -- that I mentioned earlier. These foundational elements can facilitate even further expansion of the broad industrial manufacturing base and supporting services in our region. As I said, we believe tariff impacts are manageable, and with everything we know today, we remain confident in the guidance and outlook initiated on last quarter's call. Before I wrap up, tomorrow, our COO, Pete Norgeot, is retiring. Over his 10-plus years in Entergy, Pete transformed our power generation team, closed out our exit from the merchant power business. In the last couple of years as COO, he recentered us on public safety while preparing us to manage the large capital investments responding to customer demand. Pete is also a good friend. We will miss him, and we wish him well in the next chapter. Moving into the COO role is Kimberly Cook-Nelson, who has been driving our sale improving nuclear operations over the last few years. A leader in the nuclear industry to bring the wealth of leadership experience, operational discipline, and project management skills to the COO role, which has served us well for the growth investment road ahead. Finally, John Dinelli is taking over as Chief Nuclear Officer. He is a long time Entergy employee having started here when we purchased Indian Point. He has helped many leadership roles within the nuclear organization and recently, he has served as our Nuclear COO, helping lead the cultural changes needed to continue our relentless pursuit of improvement in nuclear operations. While we are sad to see Pete go, we're excited about the new opportunities that will come from the leadership of Kimberly and John. And finally, we're starting to learn of the passing of Alexis Herman over the weekend. From her beginnings in Alabama along the Gulf Coast, she attended Xavier University right here in New Orleans, and then went on to become Secretary of Labor, among many other accomplishments. Of course, we know her from her 20 years of service on our Board of Directors. Beyond her outstanding wisdom and insight, she was a friend, a mentor and an inspiration to all of us, and we will miss her dearly. Although we are sad, Alexis would be proud of our great start to the year. We are on the path to meet our stakeholders' expectation's in 2025 with solid progress across key customer operational, legislative and regulatory fronts. We are executing on our plan to realize the opportunity in front of us, and we're confident we can be successful. As we continue to put our customers first, we will deliver premium value to each of our key stakeholders. I'll now turn the call over to Kimberly.
Kimberly Fontan: Thank you, Drew. Good morning, everyone. Today, I will review our financial results as well as our guidance and outlook. I'll also talk about tax credits and their potential financial impacts. Starting with earnings. Our adjusted earnings per share for the quarter was $0.82. This result keeps us firmly on track for our adjusted EPS guidance for the year. The quarter's adjusted EPS drivers are shown on Slide 4. Key highlights include higher retail sales volume, including the effects of weather, effects from regulatory actions, including recovery of investments to benefit customers and lower other O&M than first quarter last year. These favorable effects were partially offset by higher interest expense and depreciation as a result of investments. First quarter weather-adjusted retail sales growth was strong at 5.2%, the industrial sales increase was the biggest driver  at 9.3%, reflecting increases in usage from customer additions over the course of 2024 as well as continued ramp of new and expansion customers. Slide 5 provides our credit ratings and affirms that our credit metric outlooks remain better than agency thresholds. Our ongoing focus on credit has created flexibility to manage volatility and headwinds. Availability and transferability of renewable tax credits continue to be a topic of interest. Nuclear production tax credits or PTCs became effective in 2024. The Treasury department has not issued guidance on how to determine gross receipts for purposes of calculating the amount of nuclear PTCs generated. We are evaluating our position with respect to these credits and will finalize our position prior to our 2024 corporate tax filings. As a reminder, cash benefits from nuclear PTCs are not included in our outlook. So any nuclear PTCs that are realized would be positive to our plan. Our 2027 and 2028 outlooks include tax credits of approximately $170 million and $350 million, respectively, on more than $5 billion of renewable investments through 2028. If the transferability rules change, we would expect to monetize the credits using tax equity. We continue to safe harbor as many projects as possible in the event that the credit phase out sooner than the current rules provide. However, even if we were to lose all the renewable tax credits assumed in our guidance, our credit metrics would still exceed rating agency's thresholds. Turning to Slide 6. Our equity needs are unchanged since our last update. During the quarter, we executed an approximately $1.5 billion block equity forward, including the [ Green Shield. ] Prior to the equity block, we contracted roughly $230 million using ATM forwards. With these transactions, we have successfully secured our equity needs into 2027, and we've contracted approximately 2/3 of our needs through 2028, ensuring access to capital needed to execute on our capital plan. No forwards were settled during the quarter. As shown on Slide 7, we are affirming our adjusted EPS guidance and outlooks. For 2025, we're firmly on track. Weather and other updates in the first quarter create flexibility to manage the business in response to potential volatility and other headwinds. Looking ahead to the second quarter, we expect other O&M to be roughly $0.05 higher than last year, primarily due to planned power generation spending, including the timing of outages and timing of vegetation management expenses. We have confidence in our plan and our ability to deliver on our guidance and outlooks. We had a strong start to the year and have a solid plan to support our growing customer base. We are excited about the opportunities before us and remain well positioned to execute and deliver successful outcomes. And now the Entergy team is available for questions.
Operator: [Operator Instructions] And it looks like our first question today comes from the line of Shar Pourreza with Guggenheim Partners.
Konstantin Lednev: Congrats on a great quarter. It's actually Constantine here for Shar. Just as we're thinking about the Arkansas generation build, do you feel the state is now fully competitive on the data center front in terms of providing turnkey interconnection? Have there been any inbound thus far? Or do you need any further rate design improvement?
Andrew Marsh: Shar, this is Drew -- sorry, Constantine, this is Drew. The -- we feel that they are fully competitive at this point. And we are talking to potential customers in the state of Arkansas. We have a lot of interest there. And so we are working down that path right now.
Konstantin Lednev: Excellent. And then maybe in terms of the financing updates, just last quarter, the guidance was for 75% of the equity to be after 2026, and it looks like that might be accelerating slightly. Does that imply an acceleration of credit metric improvement or any other moving pieces you want to highlight?
Kimberly Fontan: Yes, there hasn't been a substantial change in the timing of the equity needed. We contracted forward into '27. But -- and our credit metrics through '28 continue to build towards and up to 15%. So we see strong flexibility in credit, but I wouldn't assume a whole lot of shift in the equity needs and the timing of the equity in that period.
Konstantin Lednev: And anything that drove such a big forward volume in 1Q relative to last quarter? Or is that just kind of optimization?
Kimberly Fontan: Yes, really was taking risk off the table. We had an opportunity to execute on that forward. And given volatility and the equity that we needed that we believed we could continue to satisfy with the ATM, but we had an opportunity to close some of that out, so we took advantage of that. And set ourselves up to be able to manage volatility over the next couple of years.
Operator: And our next question comes from the line of Jeremy Tonet with JPMorgan.
Jeremy Tonet: Just wanted to look at the sales a little bit here. I think that your residential customer count might have been up just under 1% quarter-over-quarter. And your weather normalized sales, if I'm seeing this right, residential went up about 4.5%. Just wondering if you could talk a bit more about drivers there?
Kimberly Fontan: Jeremy, it's Kimberly. I wouldn't look too much at the specifics on the quarter-over-quarter, you're going to see some volatility in the accounts. But we expect our residential sales to be about 1% for the full year, I mean our sales overall to be about 5.5%. So still strong sales over the year, but you're going to see some volatility in a given quarter on a quarter-over-quarter basis.
Jeremy Tonet: Got it. That's helpful. And just moving to industrial sales. And as you said, it will be volatile in any given quarter, but it seems like there's a degree of macro uncertainty out there that might be weighing on industrial activity a bit. Just wondering if you could provide any thoughts from your viewpoint on your service territory?
Kimberly Fontan: Yes. When we think about our industrial customers, we have had more than 5% growth for over 15 years, and that's included a number of periods where there were various economic factors happening in those periods. And I think the three industrial customers that Drew referenced in his comments coming in just this quarter over the last couple of months underscores the opportunity that we have for our traditional customers, and then we continue to have significant opportunity in the data center space. So our customers are making 30-year decisions. There's our short-term volatility that they may have to manage through, but we see those decisions coming through, and we continue to see a lot of opportunity through our pipeline as we go forward.
Andrew Marsh: And I'll just point to the rule of thumb that we have in our materials for industrial sales is 1% change in a given year, it's only about $0.01 of impact. So it's pretty well derisked because of the high level of demand charges that we have in the industrial customer space.
Jeremy Tonet: Got it. That's helpful. And just one -- last one, if I could. Just as far as these -- winning these new packages here and increasing the pipeline of big activity. I wonder if you could provide more color what it looks like, I guess, on conversations with data centers or other large industrial users, how you see that, I guess, coming together in this environment? Has anything changed?
Kimberly Fontan: Yes, Jeremy, the Drew referenced that we had 5 to 10 gigawatts in our data center discussions. Those are still strong and ongoing discussions. Our pipeline in our other customers hasn't really changed from the last time that we gave that level of detail. We continue to have strong conversations. Our pipeline is -- in our forecast is on a weighted probability basis. And Drew referenced that these customers were in our forecast. But certainly, they are hitting at a faster and higher success rate that enables us to continue to serve them, but if that rate continues, we'll have to look at incremental capital to support continued growth.
Andrew Marsh: Yes, that's a good point. I mean the -- and outside of data centers, we probably weight everything, and the three announcements that we gave you were in our forecast, but they were probability weighted. And so now the sales expectation for them are much higher than what we were originally anticipating. And taking up the space that the other probability-weighted customers might have been taking up. So there could be additional capital needed should those customers come in, and we do expect some of them to come.
Operator: And our next question comes from the line of David Arcaro with Morgan Stanley.
David Arcaro: I was wondering if you could maybe just give -- maybe an update or a profile of your system as you're looking at some of these large load customers in the pipeline, how quickly can you offer them service to connect in -- time to power has been a focus among that cohort. So curious just what the latest is in terms of how quickly you can accommodate new large load customers.
Andrew Marsh: Yes. This is Drew, and then I'll see if Kimberly wants to add anything. But the -- we do have positions in queues in order to provide generation to potential customers. As you all know, those queues are full. But our positions, we believe would allow us to continue to offer up opportunities for customers. At this point, it's near the back end of our period because there's just a lot to do to make room for all this. And as you know, the three that we -- customers that we were talking about today are all in the 2028, moving in -- ramping into 2029 kind of time frame. So that's kind of where we are in terms of potential opportunity. And so it doesn't really matter which kind of customers we're talking about, that's where that opportunity will be sitting.
David Arcaro: Got it. Yes, that makes sense. Maybe just a quick clarification on the tariff exposure. Would you consider -- I guess, do you think of the tariff exposure as being earnings exposure. Is this kind of already approved projects that now need to -- that are going to be more expensive? Or this is out in the future, will get worked through regulatory processes over time. I know you're trying to offset it. But how do you consider kind of earnings exposure, if any, from that?
Kimberly Fontan: Yes, David. Most of that exposure, as you noted, is in '27 and '28. And most of it is also tied to new generation, specific components to how build those facilities. So we think that gives us time to find additional suppliers and mitigate that. So we don't see that being a real earnings effect. And Drew mentioned some of the things we're doing to mitigate that, but we think that, that is manageable within the forecast period.
Operator: And our next question comes from the line of Nick Campanella with Barclays.
Nicholas Campanella: Thanks for all the updates. I just want to ask on '25. It just seems like you're off to a good start. Are you trending higher in the fiscal '25 plan just given the weather tailwinds or other headwinds to kind of consider for later this year?
Kimberly Fontan: Yes, we did have a good start to the year, but as with any year, we use that to manage through the course of the business uncertainty. We obviously have the summer coming, could be -- we could have a super-hot summer or we could have a mild summer, so we need to see how that plays out. But we'll use that flexibility to help us manage, but we're comfortable that we'll deliver our outlook at the end of the year.
Nicholas Campanella: Okay. Great. And then just on this new customer generation and transmission filing, I know that we're kind of approaching hearings here as kind of a midterm data point. Just -- is there any potential for effort by the parties to want to settle issues in the proceeding? Or do you kind of see that going straight through into the October order?
Andrew Marsh: Yes. This is Drew. Yes, there is always the potential to settle. And so we will look at that if those opportunities arrive. Certainly, we'd always prefer to settle rather than go to hearing if we could. But we have a good schedule, and there's a lot of support for this investment in the state and among the stakeholders. So we're confident that we will manage through the process and get the outcome that will benefit the customers and communities.
Operator: And our next question comes from the line of Paul Fremont with Ladenburg.
Paul Fremont: Congratulations on a strong quarter. I guess my first question is, can you give us a sense of the load that's associated with the three customers?
Andrew Marsh: Paul, unfortunately, I can't. We don't have authorization to talk about specific customer load. So we -- I wouldn't mention that to you. I would say these are large industrial facilities, and they would be on par with things that you might see elsewhere. But I can't give you specifics, unfortunately.
Paul Fremont: And then that your transmission filing in Texas, is that 365, 500 or 345 kV line that you're proposing? And I guess how many miles should we think of additional transmission.
Andrew Marsh: Yes. That's 500 kV, and it is 130 to 160 miles. There's a slide in the materials on that, that you can look at. And it actually will sort of terminate ideally with the line that we are requesting for approval in Louisiana. So you'll get -- in addition to customer support, I think you'll get a good resilience benefit out of that as well to help us with storms.
Paul Fremont: And sort of last question there. What would be the completion -- if you were to be awarded the project, what would be the completion date?
Andrew Marsh: We think it would be just outside of our outlook period in 2029.
Operator: Our next question comes from the line of Steve Fleishman with Wolfe Research.
Steven Fleishman: Just -- I guess, just on the sales guide for '25, you took it down a little bit. Just any -- I know it's still really good, but just any explanation for that?
Kimberly Fontan: Steve, it really is just as we get line of sight on the -- over the course of the year, we know the industrials will come in. Their ramps may vary that come in, large load comes in a little bit of variety over the course of the year. So still at 5.5%, we still see strong sales, but just a little bit of clarity on how that's going to come in.
Steven Fleishman: Okay. And then the last quarter, I think you had the second Mississippi customer that you kind of announced but hadn't been named. Is there any more clarity on that customer?
Andrew Marsh: Yes. So we are still all on moving forward with that customer. They have not announced themselves. And so we are working to their schedule, but there's nothing new from our end. We are moving forward on everything we needed to do to serve that customer.
Steven Fleishman: Okay. Then on the regulatory on the Texas plants that you're -- the next round of plants that you're looking to build, I think staff came out against it more because they thought you should have had an RFP. Just could you talk to your views on being able to kind of resolve that constructively.
Andrew Marsh: Sure. We -- as I mentioned in my remarks, there is no disagreement with the need for incremental generation in Texas. Everybody recognizes that. And then I think everybody also appreciates that we really need to move quickly in order to support the low growth in Texas as well. That's fully in the record and well supported the rationale for why we needed to move quickly. We've already got the Orange County plant. We actually did a full RFP for that one, and there were no other competing bids. For this project in lieu of a longer time required for a full RFP, we did bid out all -- some of the major components for the plant. So there is RFP in there, just not for the whole thing, and that's all reflected in the record, and we understand what the staff was saying, but we do believe there's support for us to continue to move forward and get to the finish line. Of course, we got to -- we have to finish out the process with the commission and the commission needs to agree with that. But we believe that there's evidence in the record that will support moving forward quickly.
Operator: And our next question comes from the line of Sophie Karp with KeyBanc Capital Markets.
Sophie Karp: So a couple of questions on the, I guess, the generation portfolio, how you think about that. I was curious to hear your thoughts on what would make -- what kind of market signal would make you take a closer look at nuclear and maybe bring those opportunities forward? And also, some of your peers are discussing how building gas plants take some -- really long time, right? And how -- what are you seeing and how fast can you basically build a gas plant right now?
Andrew Marsh: Yes. So -- with regards to nuclear, we are working on opportunities right now, as I mentioned. So we have the early site permit in Mississippi that is an opportunity for us. We're talking with stakeholders, including customers and vendors on that. I don't know that there are any other market signals that we could see. The key issue for us is our ability to manage the construction risk. And of course, we need a customer to want to pay for that. So there's a lot of political support in Mississippi, Louisiana, Arkansas and in Texas. Some of the states have laws in their legislative sessions right now that they are considering to try and facilitate nuclear investments. We view that as all very, very positive. But we need to be able to solve that commercial question upfront in order to move forward with nuclear on a more rapid pace. Regarding combined cycles and the path there, we have -- the key for that is where are you in the queue. And so we have queue positions that would allow us to build plants in '28 and '29, you saw that the examples today and the customers that are coming in are coming in, in that time frame, that matches up with our ability to continue to build. So that's the time frame that we are looking at -- right now is that time frame in sort of bringing on combined cycles. I think that's -- if you have queue positions, I think that's consistent with most. I think there may be a few people that have sort of uncommitted queue positions maybe in 2027. But that's about as early as I think you can get today that we've seen that could come into our service area. And then if you're not in the queue, and you're trying to get into the queue today, it's probably more like 2030, 2031. So it's a little further out.
Sophie Karp: And then my other question is on the legislature that you mentioned in Arkansas and in Texas, I believe that improves recovery mechanisms for a plant under construction and storm recovery. How should we think about potential financial impacts of those? Obviously, this is a positive, but -- how much would that be, I guess, accretive on a normal year to you guys?
Kimberly Fontan: Sophie, it's Kimberly. From the Arkansas legislation, it does allow us to build earlier because you get recovery earlier through, you get AFUDC through -- or you get cash CWIP rather than AFUDC. We haven't quantified that effect. We'll look at what specific investments will use that mechanism for and how that will benefit customers. So that will be coming in future quarters, but certainly sets us up to move faster, and actually provides lower cost to customers because of the CWIP recovery early in the construction period. In Texas, I think the mechanisms are more around ensuring risk. There's wildfire legislation. There's other legislation there, but I don't know that you'll see a lot of changes in the financials from -- depending on what goes through the legislation session there. From a securitization perspective, it is timing of the ability to recover the cost, which does lower cost to customers because of the carrying cost on that time to get those dollars back.
Operator: And our next question comes from the line of Ryan Levine with Citi.
Ryan Levine: I have two related questions, particularly to Louisiana. How does the Woodside FID decision impact the availability of power time to market for new potential data center customers in your service territory? And then related, given the macro uncertainty, any color you can share around GDP sensitivity to your load or customer activity in your plan and how that could impact the large load customer conversations?
Kimberly Fontan: Ryan, I'll address the first part of your question regarding the data center and how the large customers affect that. We've talked before that the -- our large traditional customers are in a probability weighted pipeline in our forecast. The large data centers are we consider them binary. So we look at what does it take to make sure that we can supply those and then also we add that as needed when we add that large customer. That's what you saw in the last couple of quarters. So they're not mutually exclusive, but they're also not as dependent on each other. We look at that supply for the probability weighted, then you look at the supply for the specific large customers. So we think that we can continue to serve data centers over time. Obviously, Drew talked about the timing on construction, but we think we still have a lot of opportunity there.
Andrew Marsh: And then just to make sure I understand your second part of your question, Ryan. You're asking about macro drivers and whether those would affect -- how would those effects like Woodside in particular?
Ryan Levine: Those -- how those would impact some data center conversations to the extent that the economy were to slow and that may reduce your load and you expand your reserve margins.
Andrew Marsh: Yes, so, I mean, I would think that's -- I don't think data centers are really any different than our traditional industrial customers in that regard. They are looking at long-term investments. And so they're looking past any near-term macro effects that you might see from tariffs or a recession or anything like that, that could come about. So that's -- at least that's what's happening in the conversations that we are having. They're looking well out into the future. And they're not looking at just these investments, but lots of investments. And so that's -- I think the -- that would be the driver for them, not near-term macro, but long term expectation.
Ryan Levine: But in terms of your core business outside of those customers, how GDP sensitive is your load?
Andrew Marsh: I mean it isn't -- it is not recession-proof, if that's what you're asking. But we have some of the most competitive industrials in the world, given all the investment that's happened over the last 15 years in our service territory. So in any sort of macro change, they would be the last to turn off and the first to turn on. And that's looking at commodity spreads from the U.S. to global markets right now, those continue to be favorable, particularly for the Gulf Coast. So we might see some temporary downturn. But anybody that's operating today would probably continue to operate very soon if they had to turn down at all. As I mentioned earlier, our sensitivity from an earnings perspective is really low, $0.01 for any 1% change in our industrial sales. That shows you how low the sensitivity is and the significance of the demand charges that we have. And so I would think that our industrial customers will be very robust through any sort of downturn. And from an investment perspective, as I said, the data centers and the large industrials -- traditional large industrials, they're looking at many decades of investment, not the current macro environment.
Operator: [Operator Instructions] And our next question comes from the line of Anthony Crowdell with Mizuho.
Anthony Crowdell: Just a couple of quick questions on transferability. I appreciate you gave us some numbers, but what's the impact to your FFO to debt metric if transferability were to sunset?
Kimberly Fontan: Yes, it's Kimberly. The numbers that I gave you, as I noted, we didn't give a percent on FFO, but we would be well above our -- or we would be above our threshold, I should say. We also would look to maintain some of that through other mechanisms like I talked about, safe harboring, potentially or also tax equity partnership. So that is sort of a bookend case, but we would expect to be able to manage that as well. But regardless, we still expect to be above our threshold.
Anthony Crowdell: Great. And maybe it's more of a rating agency question. But if one of the options were tax equity, do you know if the treatment of that is [ sum ] of the transferability or that's not included in the FFO -- in the FFO calculation?
Kimberly Fontan: Yes. We've done a few of those already over the last few years, and they are treated in the normal course. So I wouldn't expect that to be any different.
Operator: And our next question comes from the line of Andrew Weisel with Scotiabank.
Andrew Weisel: If I could first just elaborate on the slight reduction to the load growth forecast. First, just to clarify, you're saying it's about the pace of new customers ramping, not about usage from existing customers. Is that right?
Kimberly Fontan: Yes. I think that's a fair assumption.
Andrew Weisel: Okay. Great. And then I recognize the EPS impact is modest, but can you detail you originally guided to 11% to 12% industrial growth in 2025, what's your new forecast to the industrial class?
Kimberly Fontan: I don't think it's substantially changed. I think it still be close to that range. Really, this is about, like I said, timing, ramping, but not a significant change in where we are.
Andrew Weisel: Okay. Very good. And then one more, if I may. I appreciate the easy-to-read list of the significant investment proposals on Slide 15, and it does add up to a lot of potential spending, mostly in Louisiana and Texas and across generation and transmission. My question is how much of that is already included in the CapEx plan? And is there sort of a risk adjustment for some or all of these projects? And would there be upside or down [Technical Difficulty] to the plan pending regulatory approval.
Kimberly Fontan: $37 billion through 2028. What you're seeing on 15 at list of investments, those are all -- I would assume those are in the financial plan. Anything that's not in the financial plan, we'd have to look at whatever that is in the future depending on additional customers and that sort of thing.
Operator: And our last question today comes from the line of Travis Miller with Morningstar.
Travis Miller: High-level question here with all the large load conversation and the potential need for new generation, transmission, et cetera, have you changed any of your strategic conversations when you're thinking about contracting with these customers, i.e. going from maybe shorter-term types of contracts to longer-term offtake types of contracts or fixed price types of contracts. Just wondering if you could -- if there's been any change there in your strategy?
Andrew Marsh: Not actually, not really. One of the advantages that we have is we've been serving large industrial customers for a while. And we were able to take advantage of those structures and frameworks that we had been contracting with previously that included credit provisions, fixed demand charges, what we call minimum bill, I guess, sometimes minimum bill charges and other features -- termination features and things like that. And adapt them for the current environment with -- and particularly with the data centers. But I don't think our strategy changed all that much. We -- but we have had to be disciplined with the way that we approach this so that we can make sure that we keep all of our existing customers in a good spot while we get these new customers up and running.
Travis Miller: Sure. Okay. That makes sense. And then a specific one on the Louisiana new customer. Finally, is there a precedent either in Louisiana or other states you serve or other states you've researched for a decision like this? Is there any kind of precedent ruling you've seen?
Andrew Marsh: I'm sorry, I missed the first part, a precedent ruling on transmission investment in Louisiana.
Travis Miller: No, the new customer investment.
Andrew Marsh: The new customer. Yes. Okay. Well, I mean, I think the components themselves, nothing is new that's in there. And so it's standard generation and transmission investments that have been requested before. There is a specific customer that we are aiming to serve in this docket. But outside of that -- and I think that actually helps because it helps illustrate how we will manage the overall impact to existing customer bills. And so I think that probably helps the conversation. But the investments themselves are nothing new for the commission to consider.
Travis Miller: Okay. I was thinking more of the kind of fixed price type long-term contract approval.
Andrew Marsh: Yes. Well, again, that's -- we had those kinds of contracts before. They exist in our existing tariffs that we have. In fact, in Louisiana, we have an existing high factor load-serving tariff, and that allows us to serve a lot of these large industrial customers. We're able to use that same exact tariff for the new customer.
Operator: And that does conclude our Q&A session today. Thank you so much, everyone. I will now turn the call back to Liz Hunter for closing comments. Liz?
Liz Hunter: Thank you, Greg, and thanks to everyone for participating this morning. Our quarterly report on Form 10-Q is due to the SEC on May 12. It provides more details and disclosures about our financial statements. Events that occur prior to the date of our 10-Q filing that provide additional evidence of conditions that existed at the date of the balance sheet would be reflected in our financial statements in accordance with generally accepted accounting principles. Also, as a reminder, we maintain a web page as part of Entergy's Investor Relations website called Regulatory and Other Information, which provides key updates of regulatory proceedings and important milestones on our strategic execution. While some of this information may be considered material information, you should not rely exclusively on this page for all relevant company information. And this concludes our call. Thank you very much.